Analyst: Howard Rosencrans - Value Advisory Justin Ruissi - Sidoti & Company
Operator: Welcome to Century Casinos' Q1 2013 earnings conference call. (Operator Instructions) I would now like to introduce today's host for the call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Good morning, everyone, in North America and good afternoon to all our European listeners. I'm happy to have all of you join us for this call following the release of our first quarter 2013 earnings. With me on the call today are, Erwin Haitzmann, Co-CEO and Chairman of the company; and Margaret Stapleton, Executive VP of Finance. Before we begin, I need to remind you that in our remarks today we will be discussing forward-looking information which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and we encourage you to review these filings. In addition, throughout our call we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-K and 10-Q filings, all of which are available in our Investor Section of our website at cnty.com. Century Casinos' posted excellent results in the first quarter, remarkably it was the 13th consecutive quarter we see the revenue or net earnings growth. We continue to make good progress across the organization in enhancing operating efficiencies and maintaining a disciplined approach to marketing and demonstrated by the over proportional increases in earnings from operations and net earnings. We managed to increase revenues by 2% year-over-year, EBITDA by 17%, earnings from operations were up 30%, and net earnings were up by 47%. Earnings per share jumped from $0.05 to $0.07 for the quarter. The markets with higher revenue increases during the quarter were Edmonton plus-9% and the Cruise Ships Casinos were up 13%. We have EBITDA increases of all our properties of Calgary and Cripple Creek with plus 37% each. Cash flow continues to be strong with net cash provided for operating activities up 55%. Our balance sheet, which is one of the healthiest in the U.S. casino industry shows $32.1 million in cash and cash equivalents and $10.6 million in third-party debt, resulting in a net cash position of $21.5 million or approximately $0.89 per share. For all properties combined, total cash CapEx in the quarter was $334,000, adjustment of 2% of revenues spent mainly on capital project such as furniture and equipment in Edmonton, Calgary and any equipment in Central City. Our summary of property-by-property analysis begins in Canada, where the Century Casino and Hotel in Edmonton shows in local currency 10% revenue growth. EBITDA increased by 27%, resulting in a very strong EBITDA margin of 37%. It's our largest property with 750 gaming machines and 35 gaming tables. The growth was broad-based and came from the slots and the tables as well as from the non-gaming side. We had 30 additional slots in operation compared to the first quarter of last year, and still increased the win per slot per day. The increase in hotel, food and beverage revenue, again as a result of higher hotel occupancy and increased customer volumes on the gaming floor. The second quarter started out well too, with our brought out second annual years of Poker Tournaments and the Charity Classic Tournament held on April 13 and 14. We are busy converting the existing power into the sports being announced and renovating the hotel rooms with new carpet, counters of granite and new lounge chairs. (inaudible) were up last quarter and we expect the trend to continue. In Calgary, our focus on operating margins continues to show positive result. While revenue was down, which came at no surprise, it was significantly reduced shows, concert, events, resulting into our overall depression. We managed to grow EBITDA by 39% to over $350,000 for the quarter. The EBITDA margin increased from 10% to 15% compared to Q1 of last year. These results are encouraging and we will more or so as the drop on the gaming tables increased 11% and revenue from the bowling center also increased strongly by 26%. We continue to market and drive The Players Cup, Loyalty Program and are focusing on growing table game volumes. Additionally, we continue to restructure the 1,100-seat showroom by booking the majority of third-party promoters, plus mitigating our financial risk of own shows. The results of our Century Casino and hotel in Central City, Colorado, were mixed. Net revenues were flat, but EBITDA fell 8%. Gaming revenue actually was up a little, offset highly by lower hotel and food and beverage revenue. Overall, the Central City market was down 7.5%, our market share increased by about 5.2%, mostly because of bowl and table games. We will continue to concentrate on maximizing marketing and promotional opportunities, while growing internal efficiencies to a higher level and look forward to the summer season with lots of summer street events already playing for Central City. In Cripple Creek, Colorado, our net revenues were around flat. The Cripple Creek market decreased by 4.5%, mainly because of general and economic concerns, and also because of more inclement weather compared to the winter of last year. Our market share went up 2.2%. Due to successful maintenance of marketing and operating cost for the quarter EBITDA increased by a strong 37%. Our marketing in Colorado, the strategy focuses strongly on weekend promotions when customer volumes are higher. The 30 casinos we operate and mange on the Cruise Ships in Aruba had a strong quarter with revenues up 13% and EBITDA up 34%. The increase was primarily due to additional revenue from the casino and bought the (inaudible) Riviera, which began operations in May of last year and the increasing management fee revenue from the Aruba management agreement. As reported we extended the casino concessionaire agreement with three cruises, which is a joint venture between TUI Germany and the Royal Caribbean Cruise line. And we also included the newest project with 2,500-passenger vessel currently under construction and scheduled to commence operations in early 2014. On April 8, of this year plus over a month ago, we acquired the majority of Casinos Poland Limited, the market share leader in the casino industry in Poland. We paid a (inaudible) of approximately 4.5 times EBITDA for that transaction. For this reporting period, the first quarter of 2013, we still account for our investments with equity network, which we owned only on 33% before April 8, which means that you don't see anything from Poland in our reported revenue and EBITDA numbers yet, which will change from the second quarter on, as we will begin consolidating Casinos Poland as a majority-owned subsidiary for which we have a controlling financial interest. The casino industry in Poland currently is in the dispute with the Polish Revenue Service about the calculation, collection and remittance of personal income tax on fixed received bank lease from casino customers. The case is at the Regional Administrative Court in Warsaw, but the decision is not expected this year or the next. The amount in correction could range from zero to quite a few million sloppy, we don't have the good estimate yet. For one-third of the amount, we have the guarantee for indemnity from LOT Polish Airlines, the previous co-owner of Casinos Poland. Operations that we were in, revenue was up 13% year-over-year. EBITDA was about flat. Net earnings were down because there was a write-off associated with the closure of one casino. Even so overall revenues were up, newly opened or reopened casinos are still performing behind expectations and they are not yet contributing positively to the bottomline. We're evaluating the market potential for some of these smaller operations and may decide to either probably relocate another one or two casinos each year next. Last month, Casinos Poland was awarded the second casino license in the capital city of Warsaw, the most lucrative gaming market in the country and operations have really started at the higher percent last week. With that a few words about other new projects and opportunities. With our internationally experienced management team, we remain location fixed related to other big projects in any well regulated casino markets worldwide. We continue to evaluate multiple opportunities on a global basis and are currently looking at reaching North America, Europe and Southeast Asia. These include recent development as well as possible acquisitions of existing properties. Not too long ago, we announced a racing project in Calgary in cooperation with the company called United Horsemen of Alberta. We signed credit and management agreement with them. But it turns out that litigation was brought against and relating to business arrangements prior to Century's involvement. Also the project development costs are significantly higher than indicated by them. We are considering our position and applying strategies for direct litigation and we will report back to you as soon as there is any material movement. In Southeast Asia, we lend $0.5 million to a local group in connection with the proposed casino project. This project includes an existing small recreation with six gaming tables and about 50 slots, as well as the development of a larger facility with 30 gaming tables, 100 slots and other resort type facilities. We're currently completing the diligence on the project and it may take another three or more months before any final decision. This concludes our comments for the first quarter 2013 and I open the floor up to questions.
Operator: (Operator Instructions) We'll go first to (Peter Carmack).
Unidentified Analyst: As I am going through the numbers, first of all EBITDA numbers are clearly good and if you annualize that out excluding the CPL consolidation that will happen here in Q2. That market cap on the equity side at $75 million net cash of $22 million, which means you've got a total enterprise value of roughly $53 million, divide that out by your annualized EBITDA and you are trading at roughly four times and also had 66% of tangible book value per share. Got the repurchase program in place since forever and it's been sitting there unused essentially and I am curious, number one, why are no share repurchases occurring. And number two, what would have to happen to make you guys start repurchasing shares that what seems to me to be a ridiculously cheap price.
Peter Hoetzinger: We had consistently said over the last couple of quarters that we are considering to use cash either to possibly pay dividend of purchased stock, in case we don't find interesting, exciting and compelling new projects. The Casinos Poland acquisitions certainly is such a project and we believe that the other place that we are currently evaluating and doing the due diligence on such exciting projects as well and therefore I think we have better carried the above the timing of this and whether or not the current situation, we will look at the use of funds and make decisions then accordingly.
Unidentified Analyst: Let me just follow up with one more point. Why not instead of an either/or proposition, why wouldn't it be a both hand proposition. In other words, you guys have a limited share volume. You can't go out and buy unlimited number of shares, but why aren't you buying anything? I mean it's not like that would work into your cash too much. You should be doing something when you have got to return that you know better than any other project out there that gives you essentially a very high internal net return that you don't have to have any risk with because it's already stuff that you already know about.
Peter Hoetzinger: It was all about improving cash management, but we'll certainly look into it.
Operator: We'll go next to Howard Rosencrans with Value Advisory.
Howard Rosencrans - Value Advisory: Do you feel like there is much seasonality in your business I mean channel is kind of cold, and wonder if your vision is that subsequent quarters will be better?
Unidentified Company Representative: Well, with two casinos in Colorado and two similar size in Canada, the seasonality has pretty much been taken out of the equation. If it all then the second and third quarter would be a little bit stronger than the first and the fourth, but it's not very much.
Howard Rosencrans - Value Advisory: In terms of Warsaw property you mentioned, give us an idea what you're thinking about there or how significant I guess the Warsaw market is vis-à-vis the other markets that you're presently in? And remind us as if you would, how many properties do you have in Poland presently?
Peter Hoetzinger: Warsaw is obviously the biggest gaming market there in this country club. On the other hand it's pretty saturated already, so we start to open the second property and will mark out all the desks in few months, it certainly need to rank up fit, and we don't expect too much in the first quarter. But ultimately it should be a strong contributor, but it needs some time.
Operator: We'll go to Justin Ruiss with Sidoti & Company.
Justin Ruiss - Sidoti & Company: I just was wondering if you could comment a little further on just the traffic levels in Colorado thus far. Are you going to see anything just maybe in the coming quarters? Are you going to see major growth coming from their or has this just kind of been business as usual?
Erwin Haitzmann: In short, no we don't see any major changes in traffic patterns. The markets are solid to the extent, solid I should say. But overall there has not been really any significant growth. So it's quite a competitive business. We have to basically get the growth by taking it from the other in that sense. But it seems already than we think it will continue to be.
Justin Ruiss - Sidoti & Company: And actually plays into my next question, is there anybody out there that competitively maybe taking market share out of maybe from you or are you seeing anybody that's new on the horizon that could be a potential competitor, what you think of the landscape so far?
Erwin Haitzmann: No, we don't see anybody taking from us. And we don't see anybody new that where we would think that they would or could impact us.
Operator: It appears that there are no further questions at this time. Mr. Hoetzinger, I would like to turn the conference back to you for any closing remarks.
Peter Hoetzinger: Thanks, everybody, and for you interest in Century Casinos and your participation in the call. For recording of the call, please visit the Financial Results section of our website at cnty.com.